Operator: Greetings, and welcome to Hudson Pacific Properties First Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference call is being recorded.I would now like to turn the conference over to your host Laura Campbell. You may start.
Laura Campbell: Thank you, operator. Good morning, everyone and welcome to Hudson Pacific Properties' First Quarter 2020 Earnings Call. Earlier today, our press release and supplemental were filed on an 8-K with the SEC. Both are now available on the Investors section of our website hudsonpacificproperties.com. An audio webcast of this call will also be available for replay by phone over the next week and on the Investors section of our website.During this call, we will discuss non-GAAP financial measures which are reconciled to our GAAP financial results in our press release and supplemental. We will also be making forward-looking statements based on our current expectations. These statements are subject to risks and uncertainties discussed in our SEC filings, including various ongoing developments regarding the COVID-19 pandemic.Actual events could cause our results to differ materially from these forward-looking statements, which we undertake no duty to update. Moreover, today we have added certain disclosures specifically in response to the SEC's direction on special disclosure of changes in our business prompted by COVID-19. We do not expect to maintain this level of disclosure when normal business operations resumes.With that, I'd like to welcome Victor Coleman, our Chairman and CEO; Mark Lammas, our President; Alex Vouvalides, our COO and CIO; and Harout Diramerian, our CFO. Note, they will be joined by other senior management during the Q&A portion of our call. Victor?
Victor Coleman: Thank you, Laura. Hello, everyone and welcome to our first quarter 2020 call. As we all know, these are very unprecedented times and our hearts go out to everyone impacted by COVID-19. And we're grateful for all the front line workers who are enabling us to stay safe and healthy and to keep doing what we do albeit remotely for many of us.I'd like to start off by saying the entire Hudson Pacific team has done an absolutely phenomenal job over the last several weeks. We came off a very solid first quarter for our company and our markets and we'll cover all those details over the course of the call. And since then every team in every vertical whether it's construction or operations leasing or other has swiftly adapted to the new realities and we are well positioned and eagerly await the imminent reopening along the West Coast. I am incredibly proud of where we sit today as a company and what we've built.Our leadership team is second to none. Under any and every circumstances our employees, tenants and shareholders benefit from their extensive expertise, their resourcefulness and their passion for innovation and we've always maintained a strong balance sheet and excellent credit access. And today, we have over $1 billion of liquidity at our disposal. We've invested capital wisely to modernize transform and build a premier portfolio in the country's most dynamic and resilient office markets.And we have high-quality tenants, who are themselves innovators and adapters. And many of our tech and media tenants like Google, Netflix, Amazon, HBO and ABC among others stand to do quite well in the current environment.Further, we have very little construction risk with substantially pre-leased fully funded development pipeline with limited remaining spend and Mark, Alex and Harout are going to provide further context on all of the above later in the call. We are headed by our emergency response task force, which was put in place on March 2, a multidisciplinary team of senior executives from operations, finance, leasing, HR, IT communications and legal. We successfully rolled out a business continuity plan across the organization. Most of our employees have been working from home since mid-March and we're thankful to the report that we are unaware of any COVID-19 cases among our team to date.Our properties remain open and operational and fully compliant with CDC and BCCDC guidelines. I'd like to give a special recognition to our essential on-site staff: our property managers, engineers and janitorial teams. They're doing a fantastic job working and managing the day-to-day of our enhanced safety protocols, additional cleanings and proactive communications.We're putting the finishing touches on a robust plan to enable our tenants and employees to safely return to work once stay-at-home orders are lifted and our reintegration program leverages the expertise of both our own internal team and outside experts. And we're focused on hygiene, things like cleaning products and air filtering; on health interventions like PPE and testing. We're taking steps to ensure building access points common areas and on-site amenities are configured and properly managed to allow adequate social distancing.And we're looking at a variety of PropTech solutions in collaboration with our partner at the Venture Firm and Fifth Wall and taking – and thinking about vendor management best practices for this new area. We've engaged leading architects to incorporate the latest health and safety requirements and preferences into our design and best practices.While exact timing for implementation remains unclear in a variety across all of our markets we'll be ready to roll out these initiatives seamlessly. Relatedly, I've been asked to join various local state and federal communities advising on best practices for opening up the economy and more specifically the commercial real estate sector. I was particularly honored by, and have accepted a request from the Mayor of Los Angeles Eric Garcetti to co-chair the city's office and commercial working group. I believe, it's very important that we lend our expertise where we can especially, during such extraordinary times to benefit the greater community. And I have no doubt that my work with Mayor Garcetti his administration and other civic leaders will inform our path going forward in our markets throughout.Before I turn the call over to Mark, I'd like to mention that we recently released our 2019 corporate responsibility report. Along with it, we launched our new Better Blueprint ESG platform. And over the last year our VP of Sustainability and Social impact Natalie Teear worked with our leadership team to gather feedback review data and align the leading institutions and local governments.Our goal is to build upon our existing initiatives to create an ESG program authentic to Hudson Pacific and rooted in the issues that matter most to our businesses and stakeholders. The concept for our Better Blueprint comes from the understanding that the choices we make reverberate in the lives of those who work play and live in and around our properties. And ultimately, our ability to thrive as a company is tied to the vibrancy and resiliency of these various communities and more broadly as an urban-focused office REIT our cities.Through this process, we honed in on three foundational elements for focus areas: sustainability, health and equity. In our 2019, report we outlined programmatic highlights and 2025 goals for each of those. I encourage all of you to download the report from our website. It's a wonderful testament to our people our culture and our commitment and now more importantly than ever to creating a vibrant, thriving, urban space built for long term.With that, I'm going to turn it over to Mark.
Mark Lammas: Thanks, Victor. We're pleased to report that we've collected 93% of total April rents. This includes an impressive 95% of office rents and 95% studio rents, which no doubt reflects the quality of these respective tenants. We also collected 38% of storefront retail rents, which I will discuss more in a moment.With respect to the preponderance of uncollected rents, we've implemented a rent relief program. Early in the pandemic, as shelter-in-place requirements were beginning to disrupt many businesses, local jurisdictions throughout California and Washington adopted rent relief orders to protect commercial tenants. Those orders afforded qualifying tenants essentially small and medium businesses impacted by the pandemic with various protections.With few exceptions, our portfolio was covered by those governmental orders. Our program dovetails with the underlying rent relief orders, typically by deferring near-term rents with repayment requirements corresponding to local ordinances. Most of our deferrals have been about two months, with repayment either before year-end or amortized over the remaining lease term.To-date, we've granted deferrals equivalent to approximately $2.2 million, or 4% of total April rent. Another approximately $1.3 million, or 2.5% of total April rents remains in discussion for either payment or deferral. In terms of the composition of deferred rents, we've granted about $600,000 of deferrals to storefront retail tenants. These smaller shops cafes and restaurants have been hardest hit, but only comprise a little over 3% of our total monthly rent. While they're not a large portion of our revenue, we're nonetheless working diligently to keep these types of retailers in place, as they provide amenities to both local communities and our soon to be returning office tenants.Consequently, we expect our storefront retail to recover relatively quickly as office buildings become occupied again. The Ferry Building marketplace the company's share of which comprises just 36,000 square feet and represents 18% of storefront retail rent may take longer to return to normal operations. We've granted about $1.1 million of deferrals to co-working tenants.We abated $250,000 of April rent at Maxwell in connection with an opportunity to recapture some or all of that co-working space. Meanwhile, WeWork paid rent at all other locations within our portfolio and has indicated it intends to continue doing so. The company's share of true co-working throughout our entire portfolio comprises just 2.6% of our monthly rent with another 1.3% attributable to enterprise co-working.We believe there is a continued role for traditional co-working space, albeit modified for social distancing, but enterprise clients may create opportunities for us to go direct should deferred rents become delinquent. In terms of small office and studio tenants, we've granted about $500,000 of deferrals. Specifically, only $160,000 of studio rent has been deferred or abated, which equates to just 0.3% of total April rents. This highlights, as we've always noted, both the underlying credit of our studio tenants and the fact that a prolonged shutdown's impact is most likely to be seen in production related revenue not rent.That aside, we believe once shelter-in-place restrictions are lifted, we'll see a normalization in production related revenue and perhaps even an acceleration as studios look to catch up with content demand. For example, we're hearing that productions may go from a typical four to five-day a week schedule to a seven-day week schedule, which may enable us to recoup lost revenue over time.We also expect Los Angeles will be the first major studio market to resume production bringing a surge in demand for our stages particularly as shows and films look to curtail travel for the foreseeable future. In the first quarter, we also saw an immaterial pullback in non-contractual parking revenue across garages in Seattle, San Francisco and Los Angeles. Harout will provide more color in connection with our guidance on the expected decline in non-contractual and transient parking revenue stemming from the various shelter-in-place measures.One final word on tenant improvement delays. Jurisdictions across our portfolio adopted policies ranging from carve outs for construction as an essential service to more restricted measures that temporarily delayed some of our tenant improvement projects. Thankfully, only nine tenant improvement projects involving approximately 41,000 square feet all-in Northern California have experienced temporary delays that may push back these deliveries. While it is too early to gauge the impact of such delays, if any, we expect it to be relatively minor.Fortunately, both San Francisco and Seattle this week lifted said restricted measures. So going forward, tenant improvements in these markets along with those in Los Angeles should continue unabated.And now, I'll turn the call over to Alex.
Alex Vouvalides: Thanks Mark. We entered the current crisis on very strong footing across our West Coast market, which had as of the end of the first quarter for the most part vacancy in the mid to low single-digits record rents and limited available new supply. Our stabilized and in-service office portfolios were 95.9% and 94.8% leased respectively. This was on the heels of completing nearly 230,000 square feet of new and renewal deals at very healthy GAAP and cash rent spreads of 31% and 20% respectively.We made additional progress on our 2020 expirations. As at the end of the first quarter, we had only 560,000 square feet or 4.8% of our ABR remaining to address with no material leases expiring for the balance of the year. We have approximately 50% coverage that is deals in leases, LOIs or proposals on that space and thus far the deal terms related to those conversations have not changed. As of our fourth quarter earnings call in February, our leasing pipeline was about one million square feet. Today, it's around 900,000 square feet with tenant interest diverse across industry, size and market. Only about 20% of those deals are officially on hold, while others are moving slowly.We've seen tours resume albeit just a few over the last week or so. Only a handful of deals have actually died. The bigger tech companies we're talking to are still moving forward with in-process deals and trying to sort things out like density. Typically those conversations revolve around how they can have fewer people in the same space or if they need to expand. While most of our efforts right now are focused on renewals, we're working on some new deals and expansions and we've signed over 130,000 square feet of deals since activity first began to slow in early March.Again, we've seen no material shift in terms that includes rates, lease length or concession. We only have two under construction development and redevelopment projects Harlow and One Westside, which collectively total 690,000 square feet, both are in Los Angeles where construction is deemed essential. Thus far, there have been no material delays or supply chain issues and the projects are progressing with our on-site teams wearing appropriate PPE.Harlow is on track to deliver in late second quarter this year. We recently and rather swiftly, under the circumstances, received sign off from the Department of Water and Power. One Westside remains on schedule for first quarter 2022 delivery. Between these two projects, we have about $364 million of remaining spend which is fully funded.In aggregate, these projects are 85% pre-leased with One Westside fully pre-leased to Google. Leasing at Harlow continues even in the current environment and we pivoted to multi-tenant strategy.And with that I'll turn the call over to Harout.
Harout Diramerian: Thanks Alex. In the first quarter, we generated FFO excluding specified items of $0.54 per diluted share compared to $0.49 per diluted share a year ago. The commencement of significant leases at EPIC and Fourth & Traction as well as several other material tenant expansions and lease commencements throughout our Northern California office portfolio were the primary drivers of this year-over-year increase.First quarter 2020 specified items were $0.1 million or $0.00 per diluted share of transaction-related expenses and $2.6 million or $0.02 per diluted share from one-time straight-line rent relief reserve related to transitioning a co-working tenant to cash basis reporting.Specified items in the first quarter of 2019 were $0.1 million or $0.00 per diluted share of transaction-related expenses and $0.1 million or $0.00 per diluted share of one-time debt extinguishment costs.As Alex mentioned, at the end of the first quarter, our stabilized and in-service office portfolios were 95.9% and 94.8% leased respectively. Our same-store studio trailing 12 months leased percentage was 92.4%.In the first quarter, NOI at our 39 same-store office properties increased 1.7% on a GAAP basis and 7.9% on a cash basis. Our same-store studio NOI decreased by 12.2% on a GAAP basis and 10.6% on a cash basis, but would have increased 6.7% and 9.5% respectively if not for the impact of a $1.85 million one-time inactive fee payment we received in the first quarter of 2019.As Victor commented, we have $1.1 billion in liquidity and no maturities until 2022 except for our $65 million loan secured by Met Park North, which we intend to pay with our revolver. This gives us ample liquidity as we preserve capital and manage our buildings in the near-term and as we deliver Harlow and build out One Westside for Google. It should also provide us enough dry powder to pursue new opportunities at some point in the future.Specifically, after our March draws on our revolving credit facility, we have over $390 million of unrestricted cash and cash equivalents and another $110 million of undrawn capacity on our revolver.We also have $230 million of excess capacity on a separate revolver secured by Sunset Bronson ICON and CUE which we can access at our discretion. We also have nearly $409 million of undrawn capacity on our One Westside construction loan which will more than sufficiently fund the entirety of that project.Due to the ongoing disruption and uncertainty related to COVID-19, we are offering the following assumptions in lieu of formal guidance. We've based these assumptions on what we know today to help you assess our potential earnings results for the remainder of 2020. We expect our rent relief program to have a minimal impact from a GAAP perspective.In terms of cash we have deferred approximately $2.2 million of April cash rents across all segments with another approximately $1.3 million remaining in discussion for payment or deferral. Additional deferral may be appropriate over the coming months. The duration of deferred cash rents will depend on various shelter-in-place time frames across the portfolio.As previously mentioned, we abated approximately $400,000 of April cash rents which we expect will continue throughout the year. Non-contractual parking income totals approximately $1.2 million of NOI per month.As with deferred cash rents, we expect the duration of the impact of this income to coincide with the shelter-in-place timeframes. With respect to our studios, we anticipate some delay in occupancy on a handful of stages at Sunset Las Palmas resulting in approximately $1 million reduction in NOI compared to our original guidance.Due to the temporary shutdown in productivity -- in production activity across our studio portfolio, we anticipate an approximately $3.5 million to $4.5 million reduction in NOI compared to our prior expectations depending on the acceleration in activity as content production resumes and intensifies.While our leasing pipeline remains healthy, we currently estimate that the slowdown in leasing activity stemming from shelter-in-place ordinances excluding parking and other impacts already mentioned could result in a 2.5% to a 3.5% decline in the company's share of full year NOI compared to our original guidance, again depending on the duration of shelter-in-place ordinances.As Mark and Alex noted, we've had minimal delays in terms of tenant improvement projects and we're on track to deliver and recognize revenue at Harlow once leased and One Westside. Even though as of this call construction has resumed and/or continues across all our markets ongoing shelter-in-place requirements may still impact timing.And now I'll turn the call back over to Victor.
Victor Coleman: Thank you, Harout, Alex, Mark, and Laura. And again, I want to applaud the entire Hudson Pacific team and thank them for their tenacity adaptability and unwavering passion for excellence even in these challenging times.I know we're all looking forward to being back in the office together in some form or fashion extremely soon. And to everyone listening, we appreciate your support stay healthy and safe and we look forward to updating you next quarter.Operator, with that, let's open the line for questions.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Nick Yulico with Scotiabank. Please proceed with your question.
Nick Yulico: Thanks. Hi everyone. So, I appreciate the numbers you gave on some assumptions here. I guess in terms of the 2.5% to 3.5% decline in full year NOI that's I think you said a leasing NOI, excluding studios, other -- parking, stuff like that, is that mostly just a vacancy decline that's driving that number? Do you mind just unpacking that a little bit?
Harout Diramerian: A little bit -- this is Harout. A little bit. It's more delays in leasing as companies try to figure out their space needs. So, that's slowed down the leasing a little bit.
Nick Yulico: Okay. So effectively, it's -- I mean it's some assumption on just less backfill of expirations or something along those lines?
Harout Diramerian: Not less, just slower. I think companies are taking a little bit longer to make decisions on their future space needs.
Nick Yulico: Okay. Got it. And you guys said earlier that you think your markets are benefiting from little new supply. Can you just talk about what you're seeing in terms of sublease space in your market? And even in your own portfolio, whether you're seeing any pickup in sublease requests? And particularly, I'm thinking about some of your exposure to smaller tech companies maybe not as well capitalized haven't been around as long?
Victor Coleman: So I'll let Art sort of jump in, but this is Victor, Nick. At the end of the day what we're looking at is San Francisco from our standpoint had some sublease with Uber that's still in the market. That's the largest piece of sublease up and down Market Street, not just our asset at 455, but others. There's been not a lot of material change in the Peninsula. I think the sublease space has increased to about three million square feet, but it's still the lowest it's been in three years. We've seen no sublease material changes here in Southern California or in Washington or in Vancouver. So overall, I think on a general basis, we've not seen much at all of sublease space increase.
Art Suazo: Yes. And I'll add just -- and certainly not in the smaller tech realm as you mentioned.
Nick Yulico: Okay. I guess just lastly, I mean can you remind us where the portfolio stands right now in terms of exposure to tech companies that are -- haven't -- that aren't public, private, smaller not as well capitalized? I mean, is that the piece of the portfolio, where you would worry more about in this environment? And what's your exposure like there?
Harout Diramerian: Well, I think, Mark 40% of the companies are either public or larger than 100,000 square feet?
Mark Lammas: Yes. Or you can see in our industry diversification table Nick, if you want the latest breakout. But yes, only a small percentage of our overall tech exposure are privately held companies that have been in existence for less than 10 years. So -- and I don't think there's any indication judging by say April collections that tech is somehow more vulnerable. Indeed I would say one indication of how strong tech has been is, if you look through regardless of size at our overall Bay Area exposure, which is where the prominence of our tech exposure is, while it comprises 65% of our ABR, only 58% of what we didn't collect, which isn't a big number to begin with, but if you just look at the non-collection number, only 58% is in that Bay Area portfolio.And just to take it a step further, the Bay Area portfolio also happens to have a disproportionately large amount of storefront retail, which is making up a disproportionate amount of the non-collected rents, which means that regardless of size and we've got quite a bit of smaller tech tenants throughout the Northern California portfolio, they've performed extremely well in the midst of -- it's the early going on it, but in the midst of this pandemic they've been really reliable in terms of rent paying tenants.
Nick Yulico: Okay. Thanks everyone.
Victor Coleman: Thanks, Nick.
Operator: Our next question comes from Alex Goldfarb with Piper Sandler. Please proceed with your question.
Alex Goldfarb: Hey, good morning out there. And -- just a few questions here. First, Mark and Harout, just from a modeling perspective, you threw out a bunch of numbers both on a GAAP and on a cash basis and some of those were monthly, some of those sounded like it was annual. So just big picture and I guess easiest from a GAAP perspective, because that's what we model off of for FFO. What is the sort of net impact that we're looking at? Because it sounds like a lot of the rents that you're deferring you're actually going to recapture. So from an FFO perspective, what's the GAAP impact?
Victor Coleman: Yes. Right. Right. That's -- right, you're just trying to cut to the chase. The -- I mean we obviously gave you some tools for the toolbox because we were not providing a full-blown reset on FFO, right? And the reason why we've given you in some cases a monthly amount is because in some cases the amount of time and the amount of impact will depend entirely on how long the shelter-in-place orders go. So for example -- and there's no gap in cash difference between contract -- non-contractual parking revenue. So we've given you a monthly amount on that, because we don't know if the parking will restore to normalcy in a month, two, three or four and so that's why in some cases you're seeing a monthly amount.In some cases, we have reason to believe that you can get to a pretty good estimate of a full year impact regardless of how long the pandemic goes for. So that's why we gave you a full-blown remainder of the year's studio number that you can model in for the full balance of the year that $4 million. That's a look ahead to the end of the year. And we did likewise on the overall leasing slowdown and that's your 2.5% to 3.5% adjustment on NOI. So some are highly, highly, highly time-dependent and that's why we try to give you a monthly amount, because we don't know exactly when all of the shelter-in-place orders across the entire portfolio will get lifted. There's -- in those cases there's really no cash and GAAP difference that's why we just gave you the NOI impact. And in some cases we can't forecast at the end of the year.
Harout Diramerian: So just to add to that -- this is Harout by the way. The largest component of our FFO is our office NOI. So you have the biggest piece to start getting from point A to point B, you layer on the studio numbers, and then you just make an estimate around the parking and I think you have almost all you need to make a pretty decent estimate. And those are the building blocks Alex to get you there. So we're not providing direct guidance, but we're giving you the tools to build your own estimate.
Alex Goldfarb: Right. So that's the point. It's from a GAAP FFO perspective. It's our estimate that monthly parking revenue, the $4 million studio for the balance of the year and then down 2.5% to 3.5% on NOI for impact on the delayed leasing, those are the sort of the components?
Harout Diramerian: Yes. That's right. Those are the building blocks.
Alex Goldfarb: Okay. And then switching subjects. I mean, everyone's been binge watching Netflix and probably waiting for them to restart production to get the new series going. But it would seem like you guys from a tech, from a video game, from a studio domain, and you guys should be seeing I would think increased demand for your space out of this in contrast to other markets where people are worried about whether or not employees are going to go back to office or start leasing. It would seem to be that you guys should be benefiting from here and that you would have even stronger demand in those three respective areas. So is that the case? Are we -- is it oversimplification or is this sort of the right way to think about it?
Victor Coleman: Alex, no you're absolutely right. I briefly read some of the pieces this morning that various analysts said -- so I can't remember who, but somebody had sort of said, hey, it was a negative -- something about -- it's a negative in the studio business. I mean, it could not be farther from the truth.Some touch points here. Our team has been reached out by virtually every production company saying, we need office space and we need studio space. The demand for production right now is at the height -- this is effectively like it's a strike. And so, writers are writing. They're doing virtual table reads. They can't wait to start filming.They've already come out and said -- Amazon said, all their domestic filming is moving into Los Angeles. Netflix is saying, all of their location shoots are now going to move to studio shoots. They're going from three to four days a week, trying to get the unions to approve and SAG to approve seven days a week filming.The demand is going to be voracious. And so you're just looking at the obvious. And, I guess, as I said, I can't remember who it was, Mark will probably tell me after I say something. But, I mean, L.A. will be the number one location shoot, given the fact that talent does not want to travel or may not be able to travel for a while.And so, the lockup around this when it opens and we've got a pretty good indication of when they're looking to open, but it's going to be a beneficial for us. And it's like, the waterfall of production will absolutely proliferate, because of the fact that Netflix and all the others are running out of content.I mean they're pushing their content through right now where they had backflow of content through this year and probably first half of next. There's an interesting article, by the way, of them filming that's in the LA Times, I think it's today or yesterday that Ted Sarandos wrote about -- they're current filming already up and running in Japan and I think in South Korean and Iceland and what they're going to mirror to do here. So --
Alex Goldfarb: Okay. Thank you, Victor.
Victor Coleman: Thanks.
Operator: Our next question comes from Craig Mailman with KeyBanc Capital Markets. Please proceed with your question.
Craig Mailman: Hey, guys. Maybe just a two-parter on the studios here. Just back of the envelope, it seems like it may be an 80 to 100 basis point drag on the studio business, which doesn't seem very big relative to maybe some of the concerns out there. So I just wanted to clarify that. And then, also, just from the way the leases are structured, Netflix is a long-term lease. Can you just kind of remind us how much ancillary fees were there on the hook? Wondering how that would work with some of the other tenants?
Victor Coleman: So, I'll take the beginning and then we'll sort of roll into it a little bit, Craig. So, yes, it's roughly that number. And I think Harout has adequately looked at that being the drag going forward. But as I mentioned, when they start filming, unlike rent, which is lost and cannot be recovered, if you abate rent, the ancillary can get picked up by additional shoot days on the variability.The other aspect is, we negotiated with Netflix and others where -- on the long-term leases, where they have to pay us a fixed amount whether they shoot or not. They have so many days a year that they get -- basically they don't have to pay. They're basically earning those days out by not paying currently today and they will be able to pay -- they're going to have to sort of pay automatically going forward. So this is not a complete loss at the end of the day. This would have been annualized, I don't know what the number is, but annualized. We would have had some impact of lost day shoots anyways on the ancillary. And typically we've always said the ancillary rent, Mark, is like 30%.
Mark Lammas: Yes. And just to kind of take Victor's point and give you a sense of analytics around it. If you're looking at, say, Q1 annualized cash NOI in the studios you're -- that's about $36 million. And if you think, as Victor points out, about a-third of that revenue is ancillary-driven and 20 of the 36 stages are under long-term deals, then just looking through those numbers you'd see that about $7 million of -- a bit shy of $7 million of the ancillary revenue is under contractual long-term deals that require, as Victor points out, the tenant to pay for production-related services, even if they're not in production. And so, that gives you a sense of kind of what is the contractual component of the ancillary revenue sitting inside the annualized NOI amount.
Craig Mailman: Okay. That's helpful. Then just -- I'm assuming that the $4 million drag does not assume a seven-day production schedule. And can you kind of tell us how long that kind of assumes production down for?
Mark Lammas: Yes. I do think -- and I guess -- and I was going to say this when Victor was giving you guys the update on overall expectations regarding studios. I do think it's super important to remember that, when we're giving you a number, we're giving you a number from here till the end of December 31. And there's going to be this temporary lull and we're experiencing it now in production and we have 16 of our 36 stages not under contract, which gives us a contractual assurance that we're getting that production revenue.It's going to ramp up and it's going to ramp up quite a bit. It's just, we're not going to see the full benefit of that ramp up by the time the calendar year that we gave you that number for comes and goes, right? So you're going to see a ton of it in the first quarter and the second quarter of next year. So we're going to make it all up. It's just that it's -- in a sense, we're going to get cut off by the end of the year before all of that real sizable ramp up occurs.
Harout Diramerian: That's exactly, right. And just to add to that, we do -- so just to answer your question a little more clearly, we have not included additional days of production in our projections. We've done kind of a conservative number, I'd say. It really depends on, like we said, earlier the stay-at-home measures. So when and if they come on board, we do have some catch-up of ancillary production revenue, but we were conservative in that assumption.
Craig Mailman: Okay. That's helpful. And then, just switching gears to the co-working. You touched on Maxwell potentially getting some of that space back, or all of it back. Is that the Spotify deal? Sorry, my daughter just ran in here.
Victor Coleman: I thought you won't be working at home for long.
Craig Mailman: Or at day care, if that’s to reopen. The Maxwell, is that the Spotify space? And then, could you just go into, just the defer or the cash accounting? And kind of -- is that on the -- any of that on the $1.3 million enterprise, or is that all on the non-enterprise space?
Victor Coleman: So let me just take the sort of top level on this. On Maxwell, that's not Spotify, that's Accenture. And our deal with WeWork was agreed upon very early on in this process. It was in March that we had conversations with them. And our deal with them is, they're paying at every location with the exception of Maxwell, where we have a rev share component there. And, yes, we have the ability to take it back at our option over a period of time and it's a fairly short period. I think it's like 45 days or something like that.So whether we can make a deal with Accenture or whether we make a deal with Spotify or whether we just take it back and reconfigure the space. So we have a very good resolution with WeWork. And as I said, it was negotiated early on. And they are one of only two deals that we did any abatement, within the portfolio. Do you want to walk through the economics?
Harout Diramerian: Sure. As a result of switching over to a different type of lease agreement, we're required to adjust our straight-line rent receivable as that, straight-line rent receivable is based upon, their initial terms. So, that space is the only one impacted. It doesn't impact any other space. And there is a small component of -- or 20%, I believe, component of enterprise in that space, that we can take back and go direct. And then, the remainder will be what we'd have to deal with. So, it's only isolated to Maxwell. And it kind of ensures us the ability to make sure the rest of the space is collecting and not impacted by this pandemic.
Craig Mailman: Great, thank you.
Victor Coleman: Thanks, Craig.
Operator: Our next question comes from Jamie Feldman with Bank of America. Please proceed with your question.
Jamie Feldman: Thank you. I was hoping you guys can talk a little bit more, just about the conversations you're having with tenants. And as they do start thinking about, what longer-term design changes might be implemented, or even if you're working on any spaces now that, people have already decided to change some of their designs before they move in. Any color you can provide?
Victor Coleman: Yeah. Jamie listen, I'm sure, you've been talking to other landlords and it seems -- my guess is they're probably similar to us. For the most part, the conversations we're having are all relatively positive conversations, around higher density. And even if tenants have decided -- specifically the tech tenants have decided to layoff people or lower their current staff needs, nobody's giving us space back. Nobody has even indicated that they want to give space back. I think the misconception here is the increased density will be based upon the lesser amount of people.And so we're having those conversations and some tenants are working on their own configurations. We have engaged in two specific architects to design, what we would consider 2.0 Space post everybody moving back in. And we're going to prototype, one space specifically. And work on that.We've been working with Gensler exclusively on that. It is going to be a lot higher level of densification. And I think when people start thinking about coming back, at the end of the day, there's going to be some interesting attributes that we've already been reached out to. And Art has -- obviously you could see by our numbers, we have a very porous response to our retail tenants paying rent.Ground floor office retail will be attractive, to office tenants. Tenants will want to have access to their own space, without going into an elevator. And Art's already had people say, if this space becomes available from an office standpoint, we'd like to occupy it. And specifically tech and tech-related media tenants have come to us.And said, we want those space, which -- when before that space was quite frankly the lowest denominator for office tenants', interest levels to be in our portfolio. So, we're going to see adaptability around that, it's got to be patient, in terms of how we deal with it. And I think it's going to be ever moving, at the end of the day. Art, you want to comment on it? I mean, Art's done some deals in the last 30 days.
Art Suazo: Yeah. No. We've done -- as we mentioned in our prepared remarks, I mean, we've done about 130,000 square feet of deals since the slowdown at the beginning of March. We have not seen a category, -- that we have not seen a change in any floor plans, going -- kind of going back to the drawing board redoing architectural -- anything of that nature.I think, as we're talking about tenants large and small. I think as Victor said, it's going to be a wait and see. They literally don't know. They don't know how their employees are going to react. And so, that's kind of what they're waiting for. And so, we're standing by.
Jamie Feldman: Okay. That's helpful. And just to confirm Victor, you kept saying higher density, like so, space per employee means the number goes high per...
Victor Coleman: Lower density more space for, less people.
Jamie Feldman: More space for less. Okay. And then, as you think about the 4% of rents that you've given abatements to and then, the 1% you're still working on. I mean, how do you think about just the long-term credit risk of those tenants? Kind of bigger picture just making it through the downturn, what does the portfolio look like?
Victor Coleman: Yeah, Jamie, let's just clarify what the 4% is not abated. We've only abated two tenants in the whole portfolio small -- a very small amount. That's just rent relief. So our -- by law rent relief in Washington and California is, two months. And so the deals, we've done are based upon if tenants qualify and some don't, the deals we've done is enable them to defer their rent. But they have to pay us back, that rent, over either a bullet or by year-end or various different negotiated aspects.So, the intent is that they will all pay us back. And in terms of the question around whether they default or not, I mean, we don't have any indication that -- have any tenant has come to us and said, hey, -- we literally have not one tenant that said, "here's the keys" at the end of the day.And of the two tenants we talked to you about WeWork. The other tenant was in conjunction with -- a pure abatement was a lawsuit that we settled and gave them 1.5 months' rent based on the settlement of the lawsuit. So, there's no indication that we're talking any future abatement. And that's April -- those are the numbers for April.
Jamie Feldman: Okay. And I guess, as you think through the rent roll. And what may change coming out of this, are you more concerned about the credit quality of the portfolio, or do you feel like everyone's pretty much buttoned up?
Victor Coleman: I mean 95% office, 95% studio is pretty good from guys that have paid. So I think we're pretty comfortable with, what it is. May, will be May. And we'll have to see how that changes. But, we feel pretty good about our quality of tenants, our quality of the portfolio and the responses that we've been -- received to-date.
Jamie Feldman: Okay. And then, I know you talked about thoughts on, smaller tech firms that maybe haven't been around very long. But just as you think about CBD, San Francisco, the Peninsula and Silicon Valley and kind of compare those three. How do you think those different submarkets act, throughout this downturn, based on the tenants that are there and the supply story? And any other factors we should be thinking about?
Victor Coleman: Yes. It's a good question. I mean listen, the supply is limited in all those marketplaces. And what is coming on the market is, virtually 80-plus percent pre-leased, anyways. I think San Francisco has a lot of large tenants. Obviously, Palo Alto is a very secure marketplace and the Peninsula as well. I would have thought we would have had more pushback from some of the smaller tenants in those markets.Candidly, I think the tenants that didn't pay in our marketplace, ironically were some L.A.-related tenants that were financial-related people that asked for relief that we said "No you don't qualify" or those who asked for relief that do qualify that will eventually pay they just wanted a break.There's going to be a couple of aspects around social shaming of tenants, that should have paid that were running their business. There's going to be aspects of tenants that just ask for something because, they can. But I don't think, that is going to be a long-term prospect there, when they start coming back to work, on a partial basis. Alex, do you want to comment on that?
Alex Vouvalides: Yeah. I mean, Jamie I think when you look at each of those markets, the preponderance of the tenants are still the large tech companies that are well-capitalized healthy. While there is a slowdown right now in leasing, it's for them really to take stock I think on how they want to reconfigure space, are they going to be mandated by any of the cities or states about how they can reoccupy and what the space might look like?But these are all growth companies and the conversations that we're having, the long-term plan is still for these companies to grow. Every conversation we have had is around how they think they're going to go to a less dense environment. So whether or not -- even if they didn't hire another employee, that should equate to just them needing the same amount of space if not more. And there's been chatter about are people going to keep working from home, because they've grown accustomed and we can prove that they can.There's not one tenant we're talking to that's large where they think that's going to be the norm. So many of these companies it's about the culture and having their employees together to collaborate, the creative thinking, the dynamic environments of these companies. So we haven't heard anything heading down that path.So I think when you look at supply-demand just a conversation around people going to a less dense work footprint and the continuation of them feeling like they have to still be in the office in some capacity, we think it bodes well for our markets in particular and the types of companies we have exposure to and the health of those companies.
Jamie Feldman: Okay. Thank you.
Alex Vouvalides: Thanks, Jamie.
Operator: Our next question comes from Emmanuel Korchman with Citi. Please proceed with your question.
Emmanuel Korchman: Hi, everyone, good afternoon. If we think about, the concept of going back to work, and we think about the studio business, are there density issues or, sort of, occupancy issues there? Everything we've heard so far is 50% capacity. It's going to take a while to get beyond that. You think about a sound stage you think about production, guys are next to each other actors certainly on stage are next to each other if not doing things beyond that. And so how does production resume under a different occupancy scenario?
Victor Coleman: Well, Manny, listen I don't think -- I think production is already resuming as I think I mentioned earlier. I mean, they are filming in markets around the world already. I don't think there's any correlation to whether it's 25% or 50% going to 75% to 100% of office occupancy in the production business how that correlates to production.Production in itself will be different. They're already -- there's already a roadmap by which they are doing that. They are not going to have a mass food line outside. They're having prepackaged food. They're not going to have 50 union security people, they're going to have 10. They're not going to have two backup boom guys and grip people on the set, they're going to have a limit that is if they would -- more they're doing a private set or a new set optionality where they have less people on the set. They've figured this out already. It's -- they're still going to film. I mean, to assume that there won't be filming because of a 25%, 50% or 75% is zero correlation. So they're going to figure out how they do that.And as I said earlier, they've already made the determination that they're going to be filling more on set than on location, because on location they still have parameters by, which they can't control sets they can. So these are controlled environments and they are going to have less people.How they test and how they temperature control people and they deal with that is not going to be any dissimilar to how athletes do with professional sports or how potential private companies do -- having people come on in our space.So there's no magic around it. They're going to make up their own rules. It's going to be driven based on talent and based on unions and based on SAG organizations and the likes of that and they're going to execute, that's what they're doing now.
Emmanuel Korchman: Right. And then if we go back to your comments on the -- whether it be at the street level, retail becoming office or the less dense office layouts, how does that come back to correlate with the rents and essentially the total rental expense rather than maybe the per head rental expense that a company has to deal with to provide that level of lighter density?
Victor Coleman: Well, I think that's to be determined clearly. Right now fortunately for Hudson, we have 4% of our tenants -- our portfolio is rolling this year and then next year is another light year. So tenants still have obligations under their current lease terms.Going forward, how they negotiate that on the rent basis we're going to have to see, but we've got a pretty good window through the end of 2021 and for the most part 2022 before we have to see any effectiveness around that. I can tell you that tenants are -- as I said earlier, tenants aren't giving -- asking to give back space. It's pretty near impossible to say we want to give back partial space on leases. But as cases may or may on arise, we'll have to deal with those on a one-off basis. But fortunately now we don't have to. And as Mark -- sorry as Art intimated, I mean the deals that we've done and the deals that have come back to us in the last few weeks that were pretty much quiet and sheltered across the board -- the rent has not been a conversation. We've not given on rent yet.And that -- by the way that's not to say that we won't. Our objective is as a landlord is to keep every single-tenant that we currently have. We don't want to lose anybody -- I shouldn't say anybody because there's a couple maybe we wouldn't mind. But for the most part we don't want to lose anybody. And so we're trying to make every deal going forward as possible.
Emmanuel Korchman: And one final one for me, you guys mentioned 1% or maybe a little bit more than 1% of the tenants that you haven't necessarily deferred, but they haven't paid in discussions. What would be driving those discussions? Are they waiting for other forms of aid whether it be the government programs, or are they deciding whether to pay it all at -- like why are those up in the air rather than either an agreement with you or are just not paid?
Victor Coleman: That's a great question and I'll tell you and Mark is going to jump in on this. But the reality is as I mentioned earlier, we are under a shelter-in-place in California and in Washington where the governors of both those states have said, you have two months of rent deferral. And so some tenants have chosen to reach out to us. We have chosen to reach out to others. And there are -- there's a contingent of tenants that we just haven't gotten a hold of and they're not responding. They don't -- by law, they don't have to respond. And they will have to respond at the end of May as of June 1st, but they're not -- they do not disavow themselves of the obligation to pay the rent. They just don't have to pay it now. And that's the number. Mark, you want to jump in?
Mark Lammas: Yeah. Just -- most of them are in process where we're discussing with them exactly what Victor mentioned a deferral. There things have been challenging logistically, right? I mean, we have a lot of tenants, especially smaller tenants, which may not even be really using their space. Logistics has slowed down a little bit just on the ordinary routine of cutting checks for rent and so forth. So even the numbers we provided Manny are really just a moment in time. April rents continue to come through even as we speak. And those that ultimately don't come through are largely in process just to be documented as a deferral.
Emmanuel Korchman: Thanks, everyone.
Victor Coleman: Thank you.
Operator: Our next question comes from Blaine Heck with Wells Fargo. Please proceed with your question.
Blaine Heck: Great, thanks. Victor or Alex, you guys have talked about seeking out acquisition opportunities both on the office and studios' side in recent quarters. I guess a couple of questions on your updated thoughts there. Number one, do you anticipate there being more potential opportunities and better pricing later this year as a result of the pandemic? And number two, I know you guys have the liquidity and debt capacity to invest. But, how does the weakness in your share price affect your willingness to be aggressive if those opportunities do arise?
Victor Coleman: So Blaine, listen, -- and thanks for that question. At the end of the day -- effectively right now, we have seen very few opportunities. There are some out there. But unless somebody is super desperate, they're not going to bring an asset to market in our opinion. Now going forward, I think we will see some opportunities and we are looking at some marketed and non-marketed items transactions that may or may not come fruition at the end of the day.I think our game plan has always been the same Blaine, and I think you've heard me say this for many years and several quarters. If there's an opportunity, that's part and parcel of an additive asset that fits in our portfolio, we will look at it, because it's part of how we are as a company, how we got to where we are and where we're going to go going forward. I would be hopeful to see opportunities. Right now, I think it's just way too early to see any impact in cap rates and the like of that. Right, Alex?
Alex Vouvalides: Yeah. I think there's kind of a wait-and-see in various markets on all transactions whether that's new investment opportunities or leasing. I think a big driver on the investment side is that the debt markets have essentially been frozen for the time being. So without financing people can't transact. I think we are hopeful and you're starting to see it now that there could be some deal activity starting to come about.I think the studio vertical, clearly those are unique opportunities. So I think it's an area we want to continue to scale and grow. So if we see something that's compelling, we'll take a look. Same on the office side, we have a handful of markets. We have a specific thesis. And if something is accretive long term, we're going to spend time on it. But right now, there's no opportunity because of the current environment and a lack of financing options.
Blaine Heck: All right, great. That's fair. And then can you just quickly update us on redevelopment or renovation plans at Bentall Centre. Obviously, you guys had success on getting some leases done there recently. The market was very strong pre-COVID. But does this pandemic delay some of your plans there, and to what extent?
Victor Coleman: So listen that market is still really strong. I mean I think our asset now is 99% leased with the new deal. So it's extremely strong. It actually had positive rent growth in the first quarter of over 4%. We are in the design phase. Interestingly enough Blaine we had engaged and executed our design around the retail to be completely reconfigured, which will be a positive given where the world has gone to. And so we were taking all the retail from the sub-terrain level and bringing up to the ground to the street level.And then the other aspects are building new office components there on a pre-lease basis. But we're still -- we're in -- we are -- there's no change in terms of how we're designing this. We are configuring some things differently. On ingress and egress and the likes of that we had meetings last week and the week before with our architect and our construction team on that. I do think that, we're still ways away from finalizing design getting entitlements and then deciding to break ground. So, I'm assuming that's going to be part and parcel of the process.
Blaine Heck: Got it. Thanks, guys.
Operator: Our next question comes from Rich Anderson with SMBC Nikko Securities. Please proceed with your question.
Rich Anderson: Thank you, and good afternoon. So, first question somewhat maybe symbolic, but for the 38% of retail that you collected, talk about what kind of retail is that? How sticky is it? And how does it sort of fit in the 38% bucket? And is there a risk that that could perhaps go away?
Victor Coleman: Well, I kind of -- and listen, we had a couple of -- we got a couple of household name tenants that paid. We've got a couple of banks that have paid. So those are pretty sticky and I think that seems pretty good. Listen, and Mark can get into detail. Rich the biggest exposure we have is our Ferry Building, because it's probably 75,000 feet of retail. Remember our retail numbers are really small overall, but -- it's like 75,000 or something…
Mark Lammas: Yes, it's like 18% of our storefront that's in the Ferry Building.
Victor Coleman: I mean -- right. I mean that -- San Francisco is like everywhere else completely shut down. When that opens up, they're looking at -- as opposed to an inside-out flow of retail will be outside-in. But those tenants are already there. They'll come back and they'll outsource people coming from the outside. So that will be a big movement for us on that standpoint.The other retail component even though they haven't paid are still -- I think we believe are going to be fairly sticky in that their office component retails whether they're office amenity, coffee shops and the likes of that. When the office buildings start to populate again, these tenants will come back because that's who their customers are. So it's not like they're looking for outside customers. So we feel good about that. Clearly some of the restaurants and some of the other related tenants, potentially maybe a big one here or there may be problematic.
Mark Lammas: I think Rich, we're talking about roughly $600,000 of April rents collected from the retail that paid. So dissecting such a relatively small number it gets a little unwieldy. But as Victor points out we do have some big name tenants they just -- they have a relatively small footprint. So for example, Nordstrom Rack they paid. Or financial institutions that have branch locations they paid. And down the list we only have one retail tenant that even breaks the top 50 and that was Nordstrom.So the -- really, the deferred rents are I think as Victor pointed out these smaller tenants -- Ferry Building was pretty hard hit. They are 18% of our storefront retail tenants. We almost -- we abated the lion's share there. We did collect some of the rents there from bigger brand names like SurveyCTO. And then -- and really -- so really the 60% or so that didn't get collected is really made up of a lot of small cafes and little shops that simply were not getting any foot traffic. And as soon as the buildings resume normal operations, they'll be right back in business along with it.
Rich Anderson: Okay. Second question, I know we're -- it's only Cinco de Mayo, but any sense on May rents in the sense that perhaps there's a significant percentage that's due on May 1? I'm wondering if you have any observation even at this point.
Victor Coleman: It's way too early to know. I mean even -- look, it looks like it's tracking in their early days here pretty well. But until the full month is behind us, it's just way too early to know.
Rich Anderson: Okay. Fair. And then lastly, maybe a bigger picture, kind of, thought -- a lot of talk about lower density model in the future, which perhaps is easiest found in the suburbs. I'm wondering if you'd see, maybe for Victor and all -- many of you have been around California office real estate for a long time, what about a systemic change to how office operates from a standpoint of going from urban to more of a suburban play because perhaps there's some space there ready for use even in your Peninsula, Silicon Valley type of portfolio? Just curious if you see that happening as an outtake from all of this?
Victor Coleman: You know, Rich it's too early to see that. We don't see any light that way in terms of moving from the urban into the suburban marketplaces. I think that -- remember and I think this is something that we all need to, sort of, take note of it's hard to move. Tenants are going to have a challenging time to move. There's a lease obligation. They are in place for whatever period of time. Our average leases go for another like 6 years to 7 years. So it's not going to be easy to just to, sort of, say pick up and leave. And that's -- the assumption is that at the end of the day there is increased demand. Tenants today are -- in places where they're at they're going to try to make it work. Do you want to comment Alex?
Alex Vouvalides: Yes. I was just going to add for our specific markets on the West Coast, I think it still comes down to where can these companies attract and retain talent. And as long as the talent wants to still live in the urban hubs and we don't see that changing even in this environment right now I think those tenants will continue to have their offices there. I think in markets where you're already seeing in the Peninsula look at from San Francisco down to San Jose a lot of that's just driven based on the employee base. So, I think market-by-market it's still going to be about where the talent lives and wants to work. And we don't see near term any changes in the shift as far as where the geographic footprint of these companies are going to be.
Rich Anderson: Okay. And then a real quick one. Are there any lease extensions being negotiated into these deferral packages that you're providing?
Victor Coleman: In some cases, yes. I mean we did as a matter of -- sort of kind of the way we were looking at inbounds and ultimately collections look at leases that had relatively near-term expirations. And it became part of the ongoing discussion with any tenant that fell into that near-term expiration that we look to do extensions.
Rich Anderson: Okay. Great. Thanks very much.
Victor Coleman: Thanks, Rich.
Operator: Our next question comes from Omotayo Okusanya with Mizuho. Please proceed with your question.
Omotayo Okusanya: Yes. Good afternoon. Just two quick ones from me. Just given the positive commentary you had around the media business and the studio business can you just give us a sense of how lease-up of Harlow is shaping up? I know you talked about going to a multi-tenant strategy. But just curious what -- how you expect that to unfold over the next quarter or two.
Victor Coleman: Well, that's a great question. So Harlow we actually just -- and I think it was in our prepared remarks. We -- during this time it's challenging to get stuff done get sign-offs in the city. The cities have been very positive on signing stuff off. And we just got DWP signed off. So we're fully up and operational now. We are virtually touring. Hopefully, we will be moving back into tours. Art has seen a flat consistent amount of multi-tenants. We actually changed our brokerage group just before this before the pandemic, we changed it in January. And we still have one tenant that's looking at the whole thing. You want to comment on it?
Art Suazo: No. Yes. So it's still the same tenants. Obviously, they're evaluating their safe needs as we discussed and we feel good that really kind of what -- once this is behind us that this is making things accelerate.
Omotayo Okusanya: Okay. That's helpful. And then also any commentary at this point in regards to Prop 13 that will - any kind of new rumblings on the ground?
Victor Coleman: Well, listen the Prop 13 rule has been, sort of, put on the back burner. I'm assuming that it's still going to try to get on the ballot. I think everybody knows our position at the end of the day. But I think it's going to be very challenging for it to get approved. As I made a comment, I believe it was the last call and I believe our peers John and Kilroy and Jordan and Emmett made the same comment, I mean real estate prices don't consistently go up as we're seeing today whether you think where values are.But virtually everybody in this call has readjusted our NAV down. That would mean that if Prop 13 went through at the levels that we were currently paying our taxes on to where they will the money there that they're going to get is going to be less. And I made that comment some time ago and that's going to be concurrent. And so we'll see what happens. There's a massive opposition group that has been formed around it. There's capital that has been raised. We'll see what happens over the summer months in terms of the battle around Prop 13. But as I said, we're not concerned about the outcome at this time.
Omotayo Okusanya: Great. Thank you. Best of luck.
Victor Coleman: Thank you.
Operator: Our next question comes from the line of Emmanuel Korchman with Citi. Please proceed with your question.
Victor Coleman: I think you already …
Michael Bilerman: Well, now it's Michael Bilerman. So -- well, Manny is on the phone. If you want him to ask it you can, but I had a few questions I wanted to follow-up on. Good afternoon. Hope you guys are well. So I guess, just in terms of buyback and whether -- I know it didn't look like you had done anything in the quarter or post quarter. I know, Victor you were frustrated with where the stock had been even though it started to finally break out late last year and early part of this year. I still think there was a frustration level in terms of where the shares are trading pre-COVID. And clearly, this pandemic has caused the stock to come down to pretty low levels. So why not use any of the capacity to buy back, or how are you thinking about that?
Victor Coleman: So we did. We started to buy back up until the point, where we couldn't, where we got blacked out. So the answer is we did. And I think we may be about 50 million. Listen, we're definitely interested in levels that – we got down to like $16 a share at the end of the day. So we were buying back and I don't know what our average price is but Mark will probably get back to you guys as to what it is. He's calculated it out.But yes, the answer is we did. There was obviously – we were – I don't know if we were one of the first but we were early on this process. And there was a little bit of a backlash in the public markets about company's buying back stock as you know. But we were there and we were clearly excited about buying back our stock at those levels.
Michael Bilerman: And then can you talk about the relationship you have with Blackstone? Obviously, you go back to the big transaction on the EOP portfolio then coming into the stock. I think they got out of the stock I think it was early 2017. And then you did – bought the Ferry Building you did the joint venture with them on the Vancouver asset. They've been out there talking about going into the public market. Can you talk a little bit about whether there are opportunities for you to work with them either as a stockholder or for future purchases?
Victor Coleman: Listen I think there's opportunities with them and others that we've had multiple conversations with over the last year or so. Those conversations are consistent and I think it's both on the JV level for asset level assets both our assets and new assets that we would look to as well as the public market structure around the stock.We're an attractive company. We have excellent assets. We've got a phenomenal management team that's performing well and I'm confident that the opportunities will be such for Hudson that will be positive going forward.
Michael Bilerman: On the One Westside, is there an opportunity to buy Macerich out of the remaining stake? Is that on the table today a to provide them liquidity that they need – you're fortunate to have collected the amount of rents that you have on the retail side. You can imagine on the mall side it's extraordinarily less. So is that a potential near-term transaction that you can execute on?
Victor Coleman: So we've been in that venture with them for a little over a year. We had a two-year lockout that both sides would have to agree on. I'm assuming that at the right time there will be an opportunity for us to buy their piece out. But it's not a piece that anybody else can get. So the time frame would be based on desire and opportunity.
Michael Bilerman: Last one for me. The line dry down the 415 that was just added of abundance of caution, or were there other needs for that capital in the near term?
Victor Coleman: No 100% abundance of caution. And my guess is, given where our rent collections were so high for this past month, I'm assuming that Harlow market probably going to pay that line down imminently anyways because we have ample cash and our sources are already allocated for what we need right now.
Michael Bilerman: Great. I appreciate the time. Thanks.
Victor Coleman: Thanks. Jump in back in
Operator: We have reached the end of the question-and-answer session. At this time I'd like to turn the call over to Victor Coleman for closing comments.
Victor Coleman: I appreciate everybody's support for Hudson and your participation. And we look forward to updating you throughout this quarter as well as at the end of the quarter.
Operator: This concludes today's conference. You may disconnect your lines and thank you for your participation.